Operator: Good day, and welcome to the TransAct Technologies Second Quarter 2020 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Marc Griffin. Please go ahead, sir.
Marc Griffin: Thank you. Good afternoon, and welcome to TransAct Technologies second quarter 2020 earnings call. Today, we'll be discussing the results announced in our press release issued after the market close. Joining us today from the Company are Chairman and CEO, Bart Shuldman; and President and CFO, Steve DeMartino. Today's call will include a discussion of the Company's key operating strategies, progress on these initiatives and details on the second quarter financial results. We will then open up the call to participants for questions. As a reminder, this conference call contains statements about future events and expectations which are forward-looking in nature. Statements on this call may be deemed as forward-looking and actual results may differ materially. For a full list of risks inherent in the business and the company, please refer to the company's SEC filings, including its reports on Form 10-K and 10-Q. TransAct takes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after the call. Today's call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measure calculated and presented in accordance with GAAP can be found in today's press release as well as on the company's website. With that, let me turn it over to Bart.
Bart Shuldman: Thank you, Marc, and thank you to everyone joining us on the call today. Let me just start by about 20 minutes ago, we lost power in the building that we are in -- that we're doing the conference call from. So we're on cell phones. Should it get a little fuzzy, we apologize but we have no electricity as Connecticut was hit very hard with the storm. But before I begin, I'd like to say a few words of thanks. First, I thank our TransAct employees who've had -- who have had to endure the most unfortunate spread of the virus and the tough changes we had to make at TransAct. You did not cause this horrible virus yet you stayed committed to the work we needed to get done and you made the necessary adjustments with working from home to keep us going. No words can thank you enough. Second, I'd like to thank our shareholders. Nobody understands the impact on your portfolio as much as I do, as I spent a fair amount of money -- of my own money this year buying in my options, not handing back any stock to pay the taxes, which I did at about $10 a share, and doing outright purchases of TransAct stock. So I know what you're feeling. I thank you for your commitment to TransAct. And finally, I want to thank our Board. You have been diligent in your approach to your role and holding us as a management team accountable. You have done it in a way that gave us confidence in what we were doing and one which gave us a lot of respect. I thank you. Now on to the business of the conference call. Our second quarter performance was relatively solid, given the significant challenges presented to us and our customer base by the COVID-19 pandemic. To quickly summarize, our second quarter total net revenue declined 53% year-over-year to $5.3 million and exceeded our revenue expectations of $4.5 million to $5 million. We recorded an operating loss of $2.7 million and adjusted EBITDA loss of $2.3 million, which also exceeded our internal projection for the second quarter. We delivered quarterly gross profit margin of 43.3% despite the much lower revenue, and EPS loss for the first quarter was $0.25 per share. Of course, Steve will go into much detail later in the call. As you are all aware, the COVID-19 pandemic continues to create challenges for countries, towns, businesses and families around the world. I'd like to provide some insight into the different markets we serve to give context of where our business is trending in the second half of 2020. The global casino and gaming markets were very challenged during Q2 and is recovering at different rates depending on the region. The Asian casino market, which has now grown to include many more countries than Macau, experienced diminished traffic due to the virus outbreak. While many casinos have reopened, the impact of the spread of the virus has curtailed travel and visas into certain areas. However, new opportunities are still arising and we are very encouraged that a few new casino openings are still scheduled to occur this year and next. Europe also experienced significant shutdowns early in Q2, and we are starting to see opportunities arise for this geographic market. The growth of sports betting terminals still exist, and we even see the potential for a new jurisdiction to open for casinos that represent a very good-sized opportunity for TransAct. In the US, all casinos were closed for the first half of the second quarter, with many starting to open in late May and early June. As we head into the third quarter, approximately 85% of the casinos across the US are now open for gaming but with limited capacity and most non-gaming attractions remaining closed. We did experience a growth in orders for the US casino market as we entered the month of June, which has continued into the third quarter of this year. Industry data has been encouraging with the report that shows spend per visit materially offsetting limitations and capacity. In addition, one casino analyst, Barry Jonas from Truist, formerly SunTrust, recently issued a report of what he called, "Gaming is going back to gambling." Basically, what he is saying is in the past, casinos grew their revenues and play by adding new bars, restaurants and nightclub, which drove higher traffic. With most of them closed, casinos will have to grow their business by focusing on the gaming core, which can only be good for TransAct. He said attracting slot players back into casinos with new games will be a focus of the local casinos around the US, and he is projecting local casinos to start to get back to 2019 CapEx spending levels early in 2021. Since CapEx will not be spent on venues but on the gaming floor, I believe this could be positive for TransAct. Now on to our Epicentral platform, which was created to help casinos drive more activity through real-time promotions and incentives. Once the consumer is back in a casino, our real-time Epicentral system can reward players and incentivize them to come back again. We have just begun to market our Epicentral against the issue of players getting their promotions from kiosks and having to wait online that could cause social distancing issues. Each slot machine and casino can be turned into a kiosk using Epicentral and eliminate the issue of lines at kiosks. Players would go directly to slot machines to collect their coupons and rewards. Even as casinos open, they are continually challenged with new sanitation requirements, and our technology can assist there as well. During the quarter, we announced the launch of Epicentral Clean2Play, a revolutionary casino product that provides real-time printed proof that a slot machine has been cleaned, sanitized and ready for play. Epicentral Clean2Play built on Acres 4.0's Clean Machine product, which detects when each gaming machine's play end and instantly dispatches a staff member to sanitize the game. Once sanitized -- sanitation is complete, Epicentral Clean2Play causes the gaming machine to print the Clean2Play certification ticket, which the casino cleaning staff member then places on the machine or directly over the machine's bill acceptor. Before the next play can begin, the cleaning voucher will be removed from the slot machine, allowing casino guests to see that the slot machine is certified as clean. Slot players will look for machines with a Clean2Play ticket to begin their play. Moving on to our Food Service Technology market or FST, the second quarter was an extremely challenging time for many restaurants and Food Service companies as the entire industry worked through new plan, procedures and policies to keep their employees and customers healthy and safe. Different verticals of the Food Service industry have fared better than others. Casual restaurants and those restaurants without robust delivery and takeout systems or drive-throughs, have been the hardest hit. Most restaurants have been open but are experiencing lower traffic based on limited seating requirements. On the other hand, convenience stores and grocery stores have rebounded much faster as they expanded their fresh food offerings and consumer behaviors changed to pick up and eat in. Looking at the second quarter results, I was truly encouraged by the 100% growth in our recurring revenue from our Food Service Technology market compared to the second quarter of 2019. Please remember the recurring revenue for our FST market includes software license fees, service and label sales. As we ended the second quarter 2020, we now have 3,501 BOHA! Terminals running on our system, and our recurring revenue for the second quarter was $659,000. Despite the shutdowns and much slower traffic at our customers' locations that occurred in the second quarter of 2020, I was very pleased to report our annual revenue per terminal averaged approximately $753. As challenging as the quarter was, we are beginning to see an uptick in orders from new and existing customers in our Food Service Technology [indiscernible] revenue portion of FST to potentially exceed $1 million in the third quarter, a first for TransAct. Part of our growing excitement is a large label order we received from our largest BOHA! customer, a convenience store chain, which we will execute during the second half of 2020. They have also begun to order terminals once again. Additionally, we have previously announced corporate approval for BOHA! at a large Canadian fast-food franchise chain with over 1,000 locations. COVID forced these franchise owners to pause their activity, but they are now up and running, evaluating our BOHA! Solution and placing orders once again. BOHA! is resonating with customers large and small, and we are excited about the traction we are receiving with small and mid-market operators. Our most recent announcement covered 10 customers totaling 74 new BOHA! Terminals and included fast-casual, full-service and convenience-store concepts, showcasing the flexibility of TransAct's industry-leading BOHA! solution. And I do want to remind you we announced just a few weeks back an order for 1,200 BOHA! systems for a kiosk operator inside grocery stores. Our goal is to have all 1,200 terminals installed by the end of the year, which will then add to our growing recurring revenue base. As we look at the remainder of 2020 and beyond, investing in our technology is paramount to enhancing our position in the Food Service Technology market. Our most recent addition to the BOHA! Solution suite is BOHA! Employee Wellness. BOHA! Employee Wellness offers safe and secure digital process with its mobile app to conduct wellness screenings that will either green light employees that can work or identify employees that must go home to recover. Moreover, BOHA! Employee Wellness can be included as part of the broader BOHA! COVID Readiness and Prevention Program along COVID-related checklists, digital menus and Clean2Eat labels. The BOHA! COVID Readiness and Prevention Program ensures employee safety while reinforcing new and updated standard operating procedures with digital accuracy and accountability, so operators can reopen and operate in the safest, cleanest and most compliant way possible. And we plan to announce a major product launch in late fall of this year, which we believe will showcase our leadership position with restaurant and foodservice operators with a leap in technology. With that, I'd like to turn the call over to Steve, who will review our second quarter results and our liquidity position, after which I'll make some summary remarks before opening the call to questions and answers. Steve?
Steven DeMartino: Thanks, Bart. Good afternoon, everyone. Before I get into the details of our second quarter results, I'd like to highlight the steps we've taken to decrease our operating expenses to manage our liquidity. On our last earnings call in May, we discussed the pivot we made in late March as COVID first caused most of our customers to shutter their businesses. We went from accelerating spending to support the growth of our BOHA! solution to halting all new spending and executing a detailed plan to reduce expenses. During the first quarter, we lowered our operating and manufacturing overhead expenses by approximately $700,000 from the levels we projected internally for the first quarter. Then early in Q2, we took additional steps that we estimated will reduce our total expense run rate by $1.1 million compared to the first quarter. I'm pleased to report that we ended up nicely exceeding that estimate with a total savings of approximately $1.7 million sequentially, consisting of savings in operating expenses of $1.2 million and manufacturing overhead expenses of $0.5 million. You should also note that we achieved the $1.7 million of Q2 savings even with adding back the payroll cost for our furloughed employees we were happily able to return to work for most of May and June as a result of receiving the proceeds from the Paycheck Protection Program administered by the SBA. We also temporarily removed the 10% salary reduction we put in place in April for most of our employees, except for senior management, in order to fully take advantage of the PPP program. As a reminder, we received almost $2.2 million of PPP funds in early May that we used to pay payroll costs and help fund our facility leases and utilities for the eight week period ending June 30. But we're still awaiting finalization of the PPP forgiveness rules and application process. Based on our use of the loan proceeds, we believe a substantial portion of the loan will be forgiven. Because we finished fully using the PPP fund by the end of June, in July, we took additional expense reduction actions, which included reducing our workforce by approximately 20% through a combination of employee terminations and temporary furloughs, which we expect to continue through the end of 2020, reinstituting a 10% across the board salary reduction for all hourly and salaried, noncommissioned employees through at least the end of 2020 and continuing the elimination of all discretionary spending, such as trade shows, marketing and promotional activities, travel and entertainment expenses, training, et cetera, wherever possible. We expect these additional measures to reduce our operating expenses and manufacturing overhead spend by approximately $400,000 to $500,000 per quarter compared to Q2 though we won't likely see the full impact of the expense reduction in Q3 due to severance and other nonrecurring expenses we expect to incur. Now turning to our second quarter results. Net sales were $5.3 million, which was down 53% from $11.4 million in the second quarter last year. Looking at our second quarter sales by market, our Food Service Technology market, or FST, was up 7% to $1.2 million from $1.1 million in the second quarter of last year. Our FST hardware sales declined 32% to $545,000, and we ended the quarter with 3,501 paid terminals installed. Hardware revenues were down largely due to lower sales of our 9,700 terminals to McDonald's as their stores experienced the impact of COVID-19. Our recurring FST sales, including software and service subscriptions as well as consumable label sales, came in at $659,000 in Q2, which was more than double the $324,000 we reported in the year ago period. The large increase in our recurring revenue demonstrates that our BOHA! initiatives have begun to gain traction and are building a recurring revenue stream as our installed base of terminals grows. Casino and gaming sales were $1.4 million, a decline of 76% from the second quarter of '19 as we began to experience the full effect of casino closures from COVID-19 on casino ticket printer purchases in the quarter. Breaking this down further, our domestic revenues were down 72% from the prior year, and our international revenues were down 82%. POS automation and banking sales were down 71% to $481,000 in the second quarter of 2020 on significantly lower sales of our Ithaca 9000 POS printer to McDonald's due to the impact of COVID on their business, but they continue to have robust drive-through and take-out activity. Looking at Printrex sales, virtually no activity occurred in the quarter due to COVID-19 pandemic, resulting in revenues of just $8,000 in the quarter. While we continue to deemphasize Printrex sales, we expect to receive additional orders from our legacy customers and the industry recovers from the impact of COVID-19. As we exited the lottery market, we made a final shipment of $817,000 of lottery printers in the second quarter of 2020, and we don't expect any future lottery printer sales beyond that. Finally, TransAct Services Group, or TSG, sales were down 44% year-over-year to $1.4 million as we continued to experience declines in sales of legacy spare parts and consumable products, such as HP inkjet cartridges and POS paper rolls that we no longer focus on. Moving down the income statement, our second quarter gross margin was 43.3%, which compares to 50.3% in the prior year period as our gross margin was negatively impacted by the overall sales decline in the quarter. Total operating expenses for the second quarter of 2020 were $5 million, which was down $1.2 million or 19% sequentially from the first quarter and down 7% year-over-year. As we outlined on our last call, we took a number of steps to lower our expense structure from the first quarter run rate in response to the effect of COVID-19 pandemic on our business. Selling and marketing expenses were down $670,000 or 32% year-over-year to $1.4 million. The sharp decline is primarily attributed to the elimination of a significant portion of all trade shows and other sales and marketing programs as well as employee furloughs and terminations in April. G&A expenses were up $51,000 or 2% year-over-year to $2.2 million on additional legal, accounting and other professional fees mostly related to new issues, consultations and disclosures related to COVID-19, which was largely offset by a ban on travel expenses and a reduction in other discretionary expenses. Engineering, design and product development expenses were up $252,000 or 23% year-over-year to $1.4 million on continued BOHA! software development projects that we decided to continue even while with the COVID-19 pandemic. We incurred an operating loss for the second quarter of $2.7 million or 51.8% of net sales compared to operating income of $309,000 or 2.7% of net sales in the year ago period. As explained on the Q1 earnings call, we again recorded an unusually high effective tax rate of 33.2% in the second quarter, which is well above the corporate statutory rate of 21% and resulted in a tax benefit of $921,000 in the second quarter 2020. As a reminder, an additional provision of the CARES Act gives companies the ability to carry back federal net operating losses. The CARES Act allows companies that generate a net operating loss in 2020 to carry back five years and receive a cash refund based on prior tax payments. Since we expect to incur net operating loss in 2020, we expect not to pay any federal income tax in the year and carry back our anticipated 2020 NOL to an earlier year when we paid a corporate tax rate of 34%, and receive a cash refund sometime in the middle of 2021. Depending on the amount of our 2020 NOL, the cash refund could be substantial and provide an additional boost to our liquidity when we receive the refund. And on the bottom line, we recorded a net loss of $1.9 million or 25% per diluted share in the second quarter of 2020, which compares to net income of $186,000 or $0.02 per diluted share in the year ago period. Adjusted EBITDA for the second quarter of 2020 was a negative $2.3 million, which compares to positive $616,000 in the second quarter last year. And finally, turning to the balance sheet, we ended the June quarter with $3.1 million in cash, $2.2 million of debt under the PPP loan, and just $6,000 of outstanding borrowings under our credit facility. Though we traditionally have not given financial guidance, in the spirit of transparency given the continuing COVID-19 pandemic, we wanted to again provide investors with an understanding of where the business has trended in the third quarter, our sales expectations for the remainder of the year and insight into our projected liquidity. Our total sales for July were approximately $1.4 million, and based on our average daily bookings so far, we expect our estimated Q3 sales to be around $5.5 million to $6 million. We believe our customers' businesses will gradually improve as the impact from COVID-19 diminishes over time. And as a result, we expect our sales will slowly build sequentially each quarter as we move through Q4 and into 2021. Based on our projections, we believe that the liquidity measures we have taken, combined with available borrowings under our new credit facility, will provide us with enough run rate for at least the next 12 months and enable us to endure through these challenging times. In summary, we continue to make prudent decisions during these unprecedented times and believe we have the operating discipline to manage through the current volatility of our business and come out on the other side ready to grow again. And at this point, I'd hand the call back to Bart.
Bart Shuldman: Thank you, Steve. Well done. The outlook for 2020 remains a bit challenged, but we are clearly optimistic about the momentum we are seeing in the restaurant industry and with the uptick in order activity. It's interesting our Food Service Technology industry market will now drive our revenue growth. We're confident in the resilience of our business and employees and believe we will come out on the other side of these times even stronger. At this point, I'd like to open up the call to questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Mitchell Sacks of Grand Slam LLC.
Mitchell Sacks: Hey, guys, how are you?
Steven DeMartino: Good, Mitch.
Bart Shuldman: Hi, Mitch.
Mitchell Sacks: Good. So with respect to the convenience store market, I see in your website that was Seven-Eleven is it primarily mentions as one of your customers. Your thoughts on the Speedway acquisition. And second comment there would be just kind of talk about -- I know you mentioned one of your large customers was getting active again. Would it be safe to assume that would be them?
Bart Shuldman: Yes. So the good news, Mitch, I got a couple of stories in there. First of all, we are seeing the orders to start -- return from our large convenience store customer and, as we all know, that they had planned on rolling out 10,000 terminals. And so while we lost the last, call it, six months, four or five months as they were starting to roll out terminals in January and February that stopped in March, April, May and June, clearly, we're starting to see that come back. The other really good news, Mitch, is that we just received a very large label order from them. And we're trying to understand what that means in a kind of monthly run rate for how many terminals we have out there because as we had previously explained to the shareholders, we believe between labels and software and service, we would be somewhere around $1,700 per terminal per year in recurring revenue. Based on the latest label order that we received, there could be significantly more. So we're getting ready to ship. We'll work closely with their -- they have a -- kind of a master distributor that does this for them. And then we'll pay close attention to the sell-through rate to see what a real number would be because not only do we think we're going to have 10,000 units out there by the time they finish the rollout, but as you said, they bought Speedway and we do expect that they will roll out their fresh food initiative at Speedway also, which will add around 3,900 more stores to their population. So that would put us close to 14,000 stores. And also, with a higher potential average revenue per unit, that could be pretty significant, Mitch. And so over the next couple of months, we'll be paying close attention to the order rate of the terminals but also the sell-through rate of the labels. There's one thing that I also would like to mention in regards to our C-store market. I mean clearly, we have been focused in C-stores and grocery stores because there, they stayed open, and there, they're trying to get aggressive with their fresh food initiative. And I had our sales force give me a list of all the C-stores that we're now doing business with, with BOHA! It adds up to 22 different companies. Some of them, we've got all their business. Some of them, they've just started rolling out and trialing it but are paying for it. There's one or two that are using our old 9700, and we are working with them to convert them over to the BOHA! Terminal. But I was pretty impressed with the fact that 22 of C-stores in the country are actually using our BOHA! Technology. And so that shows that the effort that we put into finding where business could be closed instead of going to a restaurant chain that was struggling to open up that can only be at 25% or 50% capacity, where the C-stores were where the money with that they were growing with their fresh food. Clearly, we see that. And the same thing on the grocery side. We now have two major kiosk suppliers or kiosk operators in grocery stores that are using our technology. One is already installed, and one is going to be installed by the end of this year. That will clearly add 1,200 more terminals to our system, but more importantly a good amount of recurring revenue with that. So going into next year, once we get all these terminals shipped in the C-store market and get this new grocery store company up and running, clearly our recurring revenue next year is going to be growing and growing a lot compared to even this year. And we're growing by 100% right now. So we are becoming a bit more excited given the challenges that we faced in April and May.
Mitchell Sacks: And then in your notes that you talked about the business environment being uncertain to the fact that you're starting to see orders moving, can you just kind of walk us through or talk us through what you're seeing from your potential customers?
Bart Shuldman: We have to break it out between the casino market and then the Food Service Technology market. The casino market, we did see an uptick in orders in June, and that flowed through into July. And as July is normally our lightest month in a quarter, especially in casinos -- in the casino market because our slot manufacturers, the last month of the quarter, are trying to get as many slot machines out the door as they can. So normally, the first month of the quarter, it's very quiet. Well, that was a lot different this year. So clearly, we saw a fair amount of orders that came through and shipped. So we remain optimistic there. I also think that Barry Jonas from Truist, he's looking and talking to casinos and mainly focused on the locals market, which is about 95% of the casinos in the US, and he's starting to hear good things about the capital budgets coming back in 2021. Now that's clearly positive for us. We have 50% of the market. So whatever happens, we're going to get 50% of it. So we're excited there. We do see some openings that are coming across the world and we're working like hell to get those openings, but we are starting to see the order flow, flow through more. I could tell you that when you look at the orders that came in April and May and then look at June, now granted April and May were horrible, the orders that came in, in June were 3x what we got in either April or May. So that was very positive. What's got me really positive though, Mitch, is really Food Service technology. We are seeing customers -- we've got many trials going on right now where new customers are wanting to trial the technology with a potential of rollouts. So we are seeing the deal flow pick up again. And that's positive for us as we build up our deal backlog, right, so we can close more orders. So we are seeing that. And our existing customers, we're seeing the -- clearly that they're starting to buy more terminals and put more terminals out, which is what they said they were going to do on the rollout, but we're also seeing the label sales pick up, which is telling us that their volume of business is going up. Because the more that they have to print means the more that they're selling. So we are seeing that, Mitch. And we saw that in June with some fair amount of good label orders. And clearly, now with the new order from our convenience store customer, which was very significant, we're starting to get a good feel of the uptick in the label business for our FST business. But if you think about it, Mitch, the last couple of years, it was casino running the business and, let's get FST up and running, and let's get the technology launched and let's go close orders. The growth that we're now going to see from a horrible Q2 into Q3 and Q4 and Q1 of next year is going to come from Food Service technology, because we've got the orders. We've got the customers. They're starting to roll them out again, and we've got that recurring revenue growing. Despite a horrible Q2, we grew our recurring revenue business by 100%. We will -- versus last year. Clearly, that's what we're looking at again in Q3. We have a chance to eclipse $1 million in recurring revenue in Q3, first time in the company's history. So the growth that you're going to see from us, as we all get out of this, right, none of us wanted this to happen, right? None of us predicted that this would happen. But as we come out of this mess, and God knows more people should wear masks, we are -- we will see FST drive the growth of TransAct.
Mitchell Sacks: Awesome. Thank you very much.
Bart Shuldman: You got it.
Operator: We'll now take our next question from Jeff Bernstein with Cowen.
Jeff Bernstein: Hi guys, congratulations on doing a great job, walking through the valley of death here. It was really quite a quarter, and it's impressive what you guys were able to do. So another positive surprise to me, it sounded like on the balance sheet, you have -- you list long-term debt of $2.17 million and I thought I heard you say that most of that is the PPP loan or government loan and only $300,000 or so is out under your line of credit. Is that right?
Steven DeMartino: No, Jeff, the whole, the whole amount that shows up on that line item is all the PPP loans.
Bart Shuldman: Yes. Yes, we have really no debt.
Jeff Bernstein: All PPP, okay. And then how much is out under your line of credit?
Steven DeMartino: $6,000.
Jeff Bernstein: $6,000.
Bart Shuldman: And that's just -- that's it.
Jeff Bernstein: Okay.
Bart Shuldman: And $3 million in cash.
Jeff Bernstein: And $3 million cash. Oh, that is really a magic trick. Congratulations. That's awesome. All right. So there's some fuel in the tank here to get through this and you cut expenses significantly. I guess we can talk off-line a little bit more of just how that models out because obviously, some of the savings are in the run rate in Q2 and some is new, et cetera. But it sounds like you're really getting this down to where we're going to have some pretty good -- some flexibility to be able to get through this.
Bart Shuldman: Yes. Jeff, now is with the resurgence of the FST business again, you know the talk in the restaurant market today right now, I'm hearing it across the board, is that the restaurants now need technology. When you add a person, you add a liability now. You add a potential person that could come to work sick. And technology doesn't get sick. So we are seeing some real, good requests for how technology can help them out. And if you think about it, if you break the restaurant into three things, the front of the house has their technology. They have their POS. They have their kiosks. They have whatever. The middle of the house has the financial package, has their inventory package. The back of the house has nothing. And what we are starting to hear from the restaurants is, how can you help me? The wellness program that we developed was developed because a restaurant company called us and said, I've got a problem. I laid off my waiters and waitresses. I'm now opening again and there's -- they want to come back to work. And if they don't feel well, they know they got to stay home but they're not going to make money. So they're at risk, the restaurant, of having an employee show up, not feel well but that employee needs the money. So how can we use our Checklist app because -- right, we got a Checklist app. How can we use that to help them? Now there is complexity in that. You've got all the medical record laws that would have to protect the individual from who sees their medical records. So we went to work and figured out how to do that. And in another week, we'll be finished with the technology. We've launched it this week. And in another week, we should have it pretty much finished. And we've got a customer all ready to trial it because this is a technology solution. What a lot of restaurants are doing is they're making their employees fill out a questionnaire. They fill it out by hand. They hand it to some manager. Say, 10 people come to work. How do they see the yes and no answers? What are -- did they see that there was -- did they take the temperature? They did not take the temperature. This is now going to be all automated. We will immediately give them an exception report to say, John Doe came to work. He's got a fever. Send him home. So what we are hearing in the marketplace -- and let me tell you I'm being interviewed. I think I've got my third interview coming up from trade magazines that want to talk about how technology is going to help restaurants open and stay open and keep their customers safe and keep their employees safe. So we are seeing that. So the question is now, Jeff, as we start seeing this all open up again, how do we take advantage of it?
Jeff Bernstein: And it sounds like -- so this -- should seamlessly also integrate with any kind of testing program that anybody does and goes, okay. well, you got this, not the other. you can't come back until you get your test. And here, we're going to set you up immediately with your test or whatever it is, so all that kind of stuff.
Bart Shuldman: Yes, the big question is as they walk in the door, how do we -- how does the restaurant make sure that the employee is healthy enough to come to work? That's the big question that's going through their minds. And right now, there's no true integrated solution like we believe that we've put like the one that we've put together. And it marries that with Checklist.
Jeff Bernstein: So between Food Service and the Clean2Play casino thing, you would think that guys would be highly motivated and kind of knocking down your door to get this stuff in place. Is it just that they were -- now they're ready to start doing things after they've applied tourniquet kind of thing, and that's where we were in the last couple of months, and now it's finally like, all right, how do we go forward? Or where are these people in decision making?
Bart Shuldman: So, I think I've said it a couple of different times. I believe that what went on is restaurants and casinos had to figure out what they were going to do going forward. So put technology up to the side, what they needed to do is figure out, how am I opening? How can I open? How do I space my counters? How do I space my tables? Where -- how do I do QR codes so I don't have to have menus? So they had to figure that all out. And they did, right? So they're open. Now what they're saying is, okay, now how can I use technology? So I believe it's exactly what I thought would happen, which is, okay. I'm closed. I'm going to open. What's the first four or five things I got to do? Let's get through that. Let's open. Now let's go find some solutions that will make this a lot more efficient and productive. Casinos are a little different, Jeff. I think casinos, I think, were a little ahead of opening up. And I think a couple of casinos got in trouble because they opened up and people were sick and their employees were sick, and they had to go back and shut down. I mean there's no bar tops allowed in Vegas. You can't play a bar top machine right now. So I think the industry is now starting to figure out, okay. Got to take it serious, can't shut down again, what technology can I use? So, I think the casino industry is just getting to the point where I think the restaurant, the convenience store industry was about four weeks ago, which is, hey, we got to start again. we've got to look at technology. I think the casino industry is just getting there.
Jeff Bernstein: Got you. Okay. All right. Well, listen, thanks to both you guys and the team for a job well done in a really tough environment.
Bart Shuldman: Thank you.
Jeff Bernstein: So please let everybody know that your shareholders are grateful.
Bart Shuldman: Thank you. Thank you, Jeff.
Operator: [Operator Instructions] As there are no further telephone questions, I'd like to turn the conference back over to our presenters for any additional or closing remarks.
Bart Shuldman: Yes. So again, I started the call by -- with a bunch of thank you's. I thank our employees. I thank our shareholders. I thank our Board. Clearly, nobody was expecting something like we're going through. And I just really appreciate the support that we got from all three employees, shareholders and our Board. And we're working very hard in your behalf, shareholders. And we have a path forward, and the good news is we're starting to see the markets open; and that recurring revenue, sure, does help. So thanks, everybody, for being on the call. And we'll talk to you in a couple of months. Bye-bye.
Operator: And once again, that does conclude today's conference. And we thank you all for your participation. You may now disconnect.